Operator: Good day, ladies and gentlemen, and welcome to the Asure Software’s Corporate Conference Call. My name is [Juanita], and I’ll be your coordinator for today. At this time, all participants are in a listen-only mode. We will facilitate a question-and-answer session towards the end of today’s presentation. (Operator Instructions) I would now like to turn the call over to Cheryl Trbula, Asure Software. Please proceed.
Cheryl Trbula: Thank you, [Juanita] and welcome everyone to Asure Software’s conference call. Before we start, I would like to mention that some of the statements made by management during this call might include projections, estimates, and other forward-looking information. This will include any discussion of the company’s business outlook. These particular forward-looking statements and all of the statements that maybe made on this call that are not historical are subject to a number of risks and uncertainties that could affect their outcomes. You’re urged to consider the risk factors relating to the company’s business contained in our latest periodic reports on file with the Securities and Exchange Commission. These risk factors are important and they could cause actual results to differ materially. This call is being recorded on behalf of Asure Software and is copyrighted material. It cannot be re-recorded or re-broadcast without the company’s expressed permission and your participation implies consent to the calls reporting. After we completed our review of the quarter, we will open up the call for questions for the financial analyst community. I would now like to turn the call over to Pat Goepel, CEO of Asure Software. Pat?
Patrick Goepel: Thanks, Sheryl, and then on behave of Asure, I’d like to personally welcome all investors, analysts, clients, employees and other interested parties to our first quarter conference call. The first quarter was phenomenal start and (inaudible) activity to the year. We are reaffirming guidance right upfront of $18 million in revenue and $4 million EBITDA less from one-time items. We are especially pleased with our multiple activities that we accomplish this quarter. First of all, we have new branding and new the branding of Asure is AsureForce and AsureSpace. AsureForce formerly time and attendance. AsureSpace is meeting for manager and we are especially pleased with the way to look and feel of the branding and the roll out has gone. This will allow us to have an umbrella product as we layer in acquisitions and new clients. We feel AsureForce and Space have the right names for the market and the market recognizes these names in order to get growth. And 2012 is all about growth. As I mentioned last quarter, we’ve gone from a turnaround to a growth company. Secondly, we’ve realized new products this quarter. First of all, we had a rollout of our mobile applications, which we’re very pleased with. Our market adoption and client adoption is starting to gain momentum and the mobile apps is obviously the way of the future and the future is happening right now of Asure. Also we’ve realized our new product offering Ocean, which is being released to our partners now and as well as our direct clients and the market excitement for our new products in Asure for us it was been exciting to happen and it’s taken us about a year to get there. So we’re very please and we think Ocean will do very, very well. Operationally, we closed India and Canada and this was the long time coming, when I first started we are very spread out, we are consolidating around Warwick, Rhode Island and Austin, Texas. And this plan has been singled for quite sometime and we completed the operation consolidation in the first quarter. Finally on the financial side, the first quarter we finalized our convertible bond offering and took away the mark-to-market accounting, which really going for will add predictability to the business. So we took a charge this quarter it will be our last charge the non-cash charge and going forward will have much predictability. Finally, we also did a 3-for-2 stock split. And as I’ve been doing towards on our stock and going to the market, it became apparent that institutions wanted more ability to buy our shares and they were concerned about our flow. So we did a bold move and we went to a 3-for-2 split and when the stock was in a $7 to $8 range. I think it signals for management they were bullish going forward. We now have close to 5 million shares outstanding and what that I will do for is Asure will allow not only the retail investors to invest in Asure, but it will also allow institutions to now invest in Asure and we think it will be good for all shareholders going forward. Finally, I would be – I didn’t talk about our call booking, in fact I invited Mike Kinney on the conference call today and cloud bookings were up 80% year-over-year or – excuse me, sequentially quarter-over-quarter, 40% year-over-year. The big names that we had in the quarter were GE and we had a couple of divisions of G.E. Kaiser, KPMG or Harley-Davidson, Data Financial, J&J, maintenance and moppet. And what was exciting about the client names were we really had clients sign up for our services all over the world. G.E. was in Japan. In Europe we had KPMG, in United States Harley-Davidson dealer services really covered all of the United States and then we had regional players as well. So what was exciting about our traction sales, it’s really becoming not only U.S. but it’s also the global reach that’s starting to happen. I will now go to the specifics and turn it over to Dave but I want all to know we are excited for the platform for growth. We are reaffirming the year and Dave why don’t give us the exact financials this quarter.
David Scoglio: Thanks, Pat. I want to take a few minutes here to go over the first quarter financial highlights and I will be happy to answer any of your questions during the Q&A period at the end of this morning’s call. In the first quarter revenue at 4.15 million grew by 14% over the last quarter largely driven by the full quarter affect of the acquisition of Legiant late in the fourth quarter. iEmployee and NetSimplicity revenue increased over the fourth quarter by 4% and 5% respectively. ADI Time revenue was down sequentially but driven by seasonality of one-time revenue in the fourth quarter. Recurring revenue overall was up one point sequentially from 75% to 76%. As Pat mentioned, total cloud bookings were up 80% sequentially and 40% year-over-year, these cloud metrics represent product lines that only have full quarter comparative data. EBITDA for the first quarter was $776,000 excluding one-time items that were driven by our recent acquisitions of ADI Time and Legiant along with the mark-to-market impacts related to the conversion of $1.15 million in convertible debt. This metric showed a 9% increase sequentially. Net income excluding one-time items for the first quarter was at $0.03 per share. GAAP net income amounted to a loss of $0.18 per share driven by $0.21 in one-time items. Gross margins were flat at 75% quarter-over-quarter. Outside the income statement we posted some strong metrics as well. Free cash flow was in the range provided at $564,000 for the first quarter. Stockholders equity increased by 70% to $3.5 million due to conversions Pat mentioned at of convertible debt at the end of March. Lastly, days sales outstanding improved by three points to 32 days in the first quarter. Guidance for the rest of the year was outlined in today’s press release. It included conformation of our previous guidance and some additional information on earnings per share excluding one-time items. This metric is forecast to end for the year at $0.24 to $0.32. In the upcoming second quarter, revenue was guided at relatively flat due to a forecast reduction in one-time hardware sales and software sales as we drive, as we continue to drive our repetitive revenue strategy. At this time, I’d like to turn the discussion back to our CEO, Pat Goepel for closing comments and questions.
Pat Goepel: Thanks, Dave. So going forward, I talked a little bit about the first quarter being low end of activity and we accomplished a lot. Going forward as I see a couple of things with Asure. First of all, we are betting on the cloud, we are going to a repetitive model, you’ve seen the progress over the last ten quarters, we’re going to continue to do that through the year. Second, we are going to get bigger. We are going to get bigger organically, we are going to drive more clients to our systems and our platforms and we are also going to look at acquisition opportunities. We think there are number of different acquisition opportunities that we find very exciting and that we have been very active in the financing market as well as looking at acquisition opportunities. On the sales front, we are going to grow, grow, grow. Our client based sales have been very positive. We are going to continue those initiatives and I think you will see us put more focus on it in the future. We are going to cross sell some of our products and we are going to grow organically as well as grow from our repetitive revenue. So with that, we’ve talked a lot about what we are doing and the results of this quarter. We hope you are pleased with those results, that we know we are and we have a plan that continue strong growth going forward. With that, I would like to turn over and see if there is any question.
Operator: Thank you (Operator Instructions) Our first question is from Thomas Pfister of RedChip Companies. Your question please.
Thomas Pfister – RedChip Companies: Hey, guys. Congratulations on another good quarter here. The first thing I want to touch on here was your guidance again. It looks like I know you’ve touched on earlier, you’ve selected flat growth here in 2Q, but it looks like you guys have projected a pretty big increase from the third quarter to fourth quarter. So could you please just go over I guess why that is the reason?
Pat Goepel: Flat quarter from first to second, it’s all about – we have some seasonality in the business around one-time hardware specifically in our time and attendance or Asure force division and we had a great fourth quarter and some one-time sales. Our repetitive base is growing nicely, so we’re very pleased with that in the second quarter and we’re going to continue to grow. We also anticipate that seasonality in the third and fourth quarter as clients look to get on to system for January of 2013.
Thomas Pfister – RedChip Companies: Okay. I know you also talked about the increase on competitive revenue. Do you guys think that’s going to continue to increase in the 76% market here, throughout the rest of the year?
Pat Goepel: I think as far as we’re looking at and we’re active with some sales of cloud-based and partner revenue. We do think that we’re going to continue to drive repetitive revenue, starting to forecast the mix, but I would say that our goal will be to keep picking that up 1% or so a quarter if we can get there. So that’s the anticipated plan.
Thomas Pfister – RedChip Companies: Okay. And then just another question from me here. You guys referenced earlier how you seem to be getting some more sales globally. Are you guys doing any additional initiatives maybe to help drive global sales or anything there?
David Scoglio: You could be my sales manager Tom. We’re actively looking at different partnerships. We’re very pleased with our partner in Asia, it’s driven a lot of value to the Asian market, where we’ve been able to do that. We’ve been active in some discussions in the area of Europe. And so we are actively going to go with our clients are going to take us and where our partners are going to take us. Well, we do feel that the clients that we have want to push us to go globally and we want to go right with them, but we also want to do it in a very profitable way.
Thomas Pfister – RedChip Companies: Okay, great. And then just one last question here and then I’ll let someone else to hop on the line here. I think you guys referenced; you added some features here to some of your new products. I think you referenced something called Ocean earlier in the call. Could you go over maybe some of the new features you’ve introduced in your – I guess both the time and labor management also the meeting room software?
Pat Goepel: Yeah, from our products it’s really our next generation AsureForce product. And really what it does is it allows us, it’s a [re-fractious], as far as the user interface. So when you use our product, you will be able to use it in even a much easier fashion, it’s modern and it’s up-to-date, it interfaces with the mobile applications in a very seamless way. And then as far as functionality, it gives functionality not only at the clock level where some of our employees interface, but also then it is a little bit more robust from our reporting needs for our clients and it helps them drive value and ROI and by the way on AsureSpace, which we’re looking at to release this quarter and the second quarter, you know lot of it seen similarly. We have a really a web services approach, where we can plug-in to other cloud applications and interface. We have integration in an outlook, which is Microsoft’s product, Mobile Apps which we see as a way that it feature and not only Mobile Apps, but also Mobile Apps kind of leading to the iPad or panels that will provide transparency and visibility coming into a meeting room. You can visually see if that space is taken. So we’re excited about our product development. We’re spending a lot of focus and time on what drives value for our clients and as of this first and second quarter our products is starting to pay-off and we think our clients will continue to buy.
Thomas Pfister – RedChip Companies: Okay, great. Good to hear you. And that’s all for me. So congratulations again on the great quarter and I look forward to seeing your progress.
Pat Goepel: Yes, and thank you for the thoughtful question.
Thomas Pfister – RedChip Companies: Yep. You’re welcome.
Operator: (Operator Instructions) And I’m showing no additional questions at this time. I would like to turn the conference back over to Pat Goepel for any closing remarks.
Pat Goepel: Well, I very much appreciate the time we spent together today. I want to thank you in advance for following Asure, whether you are an employee, a client, interested third-party or an analyst. We believe that we’re doing something special here. We’ve been very consistent on our approach over the last ten quarters or so and we think the best days will continue to lie ahead as we go from a turnaround company to a growth company. And stay tuned to us because we’re going to be very active as we grow the company going forward. Take care and have a nice day.
Operator: Ladies and gentlemen, thank you for your participation. That concludes the presentation. You may disconnect and have a wonderful day.